Operator: Good morning. Welcome to LG Display’s Q1 2016 Earnings Conference Call. We will begin with the earnings presentation followed by a Q&A session. [Operator Instructions] With that, let us begin the presentation.
Won Jong Han: Good morning, thank you for joining LG Display’s Q1 2016 earnings conference call. I am Won Jong Han, Senior Manager at the IR team. On behalf of our company, I would like to welcome all of you to our earnings call today. Allow me to now introduce our panel. First, our CFO, Sang-Don Kim of LG Display; Young Kwon Song, Head of Marketing and Strategy; Danny Kim, Head of Corporate Business Management division; Head of IR, Hee-Yeon Kim; Head of Market Intelligence, Steven Koh [ph]; last but not least Kwang-Jin Kim, Head of OLED TV Sales and Marketing. Today’s earnings presentation will last around 1 hour and 20 minutes. As mentioned last quarter, we will conduct our call in both Korean and English language. As this is our first attempt at the new format, please bear with us for any inconveniences and we more than welcome your feedback so as to make this work going forward. Please refer to our website and attachments to our disclosures for more details regarding Q1 results. For those of you joining us via the webcast, please refer to the references and the widgets on the bottom left corner. And before we begin the presentation, please take a moment to read the disclaimer. Please note that today’s results are based on consolidated K-IFRS standards prepared for your benefit and have not yet been audited by an outside auditor. With that said, our CFO, Sang-Don Kim will now start with the presentation on Q1 2016 earnings results.
Sang-Don Kim: Good morning. I am Sang-Don Kim, CFO of LG Display. I would like to first thank our shareholders, analysts and investors for joining LG Display’s Q1 2016 earnings conference call. I will begin by highlighting Q1 performances followed by company strategies. In terms of Q1 results, revenue was down 20% q-over-q to KRW5989.2 billion, mainly driven by price declines in individual product segments, lower share of mobile which pushed down blended ASP as well as high single-digit decline in area shipments on the back of weak seasonality. However, with a profitability-focused product mix changes and strong cost reduction efforts and favorable currency movements, operating profit exceeded market consensus coming in at KRW39.5 billion. To elaborate on the profit-focused product mix changes, for 32-inch panels which are less profitable there was cutback in shipments by mid single-digits q-over-q, whilst mainstream 40-inch and above panels saw an increase in shipments by mid single-digit q-over-q. As a result, TV revenue share stands at 38%, up 4 percentage points q-over-q. Despite weak seasonality for mobile, with a growth in share of differentiated product lines at major Chinese customers, AIT, product shipment to China as well as other customers, increased 40% q-o-q, driving up share of AIT and smartphones to 80%. Also, our strong cost savings initiatives have shown positive results in the first quarter. In particular, we note that SG&A and overhead costs have been cut by mid-teens on a q-o-q basis. This level of savings is quite significant as we have seen a single-digit savings on average over the past five years. All-in-all, under a challenging business environment, we were able to record a profit in Q1, thanks to strategic and profitability-focused product mix, double-digit internal cost savings as well as advanced adoption of IPS, copper bus, M+ to respond to large screen high-definition requirements, which all led to securing of cost competitiveness. Now, for Q2 outlook, Q2 area shipment is projected to record mid single-digit growth q-over-q on expanded new models lineup and continuing migration to larger sizes. Q2 panel price is expected to show overall stabilization, with healthier inventory situation, higher purchases by set makers ahead of Labor Day holidays and sports events as well as higher demand for large sizes. For some, price increase can be expected. It may seem like a signal for industry recovery on certain levels, but currency fluctuation has become too pronounced compared to the strength of the recovery. FX rate, which was favorable in Q1 showed steep declines as we entered Q2. As such, we expect currency to be a key factor in Q2 performances. Let me now move on to supply and demand conditions for 2016. We expect oversupply to continue into 2016, but rather than the overall supply demand dynamics, ability to respond to different customers, structure of the customers and fab mix strategies will be more critical. For TV, we believe there could be upsides to panel demand on the back of improved profitability of TV set makers, sporting events in 2016 and migration to larger sizes, fast expansion of UHD and minimum level of panel inventory, which all bodes well for demand. Also even in the IT industry, which has been posting negative growth, high-end premium market is set to grow on a sustained basis. For monitors, we project high-resolution, large-size differentiated design products will expand. As for notebook PCs, high-end products, i.e., hybrids, as for mobile, high-resolution and AIT products will continue to expand going forward. Hence other than the overall supply demand dynamics, we expect top line and bottom line performances to vary depending on how companies respond to different markets, customers and product segments. Next is on company strategy and investment directions. LCD industry has entered a mature phase. And with low growth backdrop and fiercer competition triggered by aggressive capacity additions by Chinese players, our company is committed to differentiation strategies underpinned by both LCD and OLED. First for LCD, with solutions for product and cost differentiation we will maximize profitability. Amid low growth in the display industry, there is still an opportunity for growth for differentiated product segments such as in high resolution, large size, AIT among others. Accordingly, rather than expansion in volume, we will continue to strive for product and cost differentiation underpinned by technological competitiveness thereby focusing on premium products which have high value per unit. Secondly, with OLED business expansion, we wish to create new value. Up to now key focus for OLED TVs was on stabilizing production and initiating a meaningful entrance to a premium market segment. But from this year, we will drive and expand OLED product portfolio to full scale to include TV, mobile, R2, lighting among others. To that end, as announced, E5 which is Gen-6 plastic OLED fab will be fully expanded in the second half of next year and P10 fab will be complete by 2018 which will all attest to phased expansion of our OLED business. CapEx for this year is KRW4 trillion to KRW5 trillion, unchanged from our earlier communication beginning of the year. But recently, we have seen heightened demand for mass production regarding new technologies and as such we are revisiting our investment strategies. Mass production for E5 second half of 2017 and completion of P10 by first half 2018 are our overarching strategies. Under this bigger backdrop, we are discussing specific investment approaches, such as fab conversion or fab expansion as well as the size and timing issues. Once decided, we will communicate in due time with the market to share our investment strategies, which is critical to the future of our company. LG Display is committed to managing profitability and under various market scenarios we will be rigorous in business and cash flow management as well. Through such efforts even in challenging times, we will equip ourselves with future growth and differentiate ourselves in terms of profitability among our peers. Thank you very much.
Won Jong Han: That brings us to the end of earnings presentation for Q1 2016. We will now take questions. Operator, please commence with the Q&A session.
Operator: [Operator Instructions] First question will be from UBS.
Nick Gaudois: Yes, hi. Thanks for taking my questions. This is Nick Gaudois from UBS. The first question would be on OLED, could you give us some color on the level of cost reduction you may have achieved in Q1 for white OLED panel manufacturing and how much now that contributed actually to the earnings surprise in the quarter? And also, how do we look at cost reductions for the full year from that perspective? And then I have a follow-up. Thank you.
Sang-Don Kim: Yes. I am CFO, Sang-Don Kim. I would like to respond to your first question. I understand your question has to do with the extensive cost savings that we have experienced for our OLED TV. As you are well aware, our OLED TV is still in the red. And as communicated previously, for this year we are projecting about 1 million units of OLED TVs for this year. Now going forward, the key factors that will impact OLED cost will be number one, yield and number two, economy of scale. And another very critical factor for OLED going forward is enhancing the value, the so-called value up, through establishing a premium positioning. Now for this year, in terms of the P&L for OLED compared to the previous years, there has been a clear and significant improvement. I believe that going forward, profitability will play out depending on next year’s and this year’s amount of volume and the units that we sell.
Kwang-Jin Kim: I am Kwang-Jin Kim, Head of OLED TV Sales and Marketing, if I may add. Now when it comes to OLED products, of course saving or reduction of cost is important, but what is more important is our activities relating to value up. Now, for example, in terms of the picture quality by the addition of the features like HDR, the technology, on a year-over-year basis, there has been a significant improvement in terms of picture quality. And also in terms of design, we are able to implement and enable designs that were not possible in the past. Through such approaches the set makers, compared to the past, can receive a higher set price on the market. Actually, that is the aspect that we are hoping for going forward.
Nick Gaudois: Great, thank you very much. A follow-up question is on the inventories, you have an inventory increase in the quarter of about KRW180 billion. Could you maybe give some clarity on in which segments you have increased inventories q-over-q? And how do you expect to reduce these physically in Q2 or potentially Q3 and whether you actually expect to end with lower inventories at the end of Q2? Thank you.
Sang-Don Kim: I am the CFO, Sang-Don Kim. I will respond. Now, the inventory level as of end of Q1 I personally believe that this is the minimum level of inventory that could have been adequately and amply managed. That is my personal view. I believe that when it comes to the inventory level for Q2, with M+ and AIT as well as due to seasonality, there could be a slight increase. You can understand the slight increase in inventory as being influenced by some seasonality factors as well as migration to bigger sizes for TV as well as the Labor Day holidays coming up and the sporting events. On the mobile side, I believe with the LTPS and AIT applied products and diversification of the customer base, the inventory will slightly increase going forward. LGD, as it did in the past, under a very conservative overall approach, we are going to adequately manage our inventory level at the different product segments and also in line with the market demand.
Operator: Next question, I would like to take from J.J. Park of JPMorgan.
J.J. Park: Thank you. I would like to pose two questions. My questions relate to your strategic approach. I would like to understand the possibility of U.S. major customers suddenly migrating to OLED panels within the year. How high or how low the profitability would that be? And under those circumstances what would be your approach and how would you be utilizing your LTPS panels in such changing market environment? My second question is in terms of the mass production – possibility of mass production against your U.S. customers for the mid – small to mid OLED panels, how do you foresee that going forward?
Sang-Don Kim: I am the CFO. I would like to respond to your first question. Now, before I begin, please do understand that we will not be able to make any specific comments relating to our strategic customers. Now, having said that, when it comes to the display technology, we are moving from LCD to OLED. As such, we do expect different developments to take place amongst our different customers. As I mentioned at the very beginning, starting in year 2017 by using our E5 fab and facilities we will be expanding and supplying plastic OLED panels. When it comes to P-OLED compared to LCD, we expect higher ASPs and also we do hope and expect that it will contribute to the growth of our mobile segment within the company. As you know, globally there are only two players who have the capabilities in terms of OLED technology and the ability to mass produce. Now, when it comes to the actual and physical preparations for mass production, there could be some differences and divergences in terms of the initial speed and initial size. However, from a mid to long-term perspective, I believe that the OLED adoption in the smartphone segment is in line and it will actually further reinforce our strategic direction going forward.
Young Kwon Song: Now, I would like to respond to your second question. I am Young Kwon Song, Strategic Marketing. As we see increases in the share of the OLED in the mobile segment, just as we have experienced the LCD to OLED migration in the TV segment, we are going to respond to those changes by migrating and converting into OLED lines from LTPS.
Operator: Next question, I would like to receive from JPMorgan, J.J. Park. Please go ahead.
J.J. Park: I would like to pose two questions. The first question has to do with your FX impact in the first quarter, what was the extent of your currency impact on your operating profit line item? My second question has to do with your CapEx, you have communicated that this year you have – you are looking at about KRW4 trillion to KRW5 trillion. Can you provide a more detailed CapEx breakdown between mobile, TV, etcetera. The reason why I ask this question is because you have mentioned your P10 fab will be completed in the first half of 2018 and next year therefore I would think that your CapEx spending will be a little higher than that of 2016. Basically, that’s the rationale behind my question I would like to ask for further elaboration.
Sang-Don Kim: I am the CFO. I will respond to your first question. Now in the first quarter, if you look at the FX rate, the cost between won versus the U.S. dollar, there was a 4% increase which had a positive impact. On top of that, also if you look at won and Japanese yen cost, there was 9% increase in FX rate and that had an impact of increasing the costs. And just for your reference, if you look at our top line, the revenue, 90% is dollar-denominated. If you look at our material cost, the material cost is 50% of our revenue and of the material cost our exposure to the Japanese yen is 10%. So, the impact coming from the changes in the currencies, the FX rate with U.S. dollars as well as Japanese yen, the impact in total is about KRW65 billion. Moving on to your second question, as mentioned before, for this year we are looking at CapEx of around KRW4 trillion to KRW5 trillion. But having said that, in terms of the specific equipment that will go into P10, the generations and the types of product segments, we are currently reviewing different CapEx. As you would know, for this year as well as for next year one of the biggest tasks that we would really have to consider is making efficient investments for future growth. And the 2017 CapEx is going to be determined on how we respond to the large sizes as well as expansion in mid to small-size OLED as well as how – to what extent we wish to strengthen those businesses. Now, after we deliberate and review on the market demand as well as technology’s readiness and once those aspects are determined and in terms of the size as well of the investment, we will communicate with the market.
Operator: Next question from Cowen & Co., Mr. Rob Stone, go ahead.
Rob Stone: Good morning. Thanks very much for organizing this combined conference call. I think it’s running very smoothly so far. My first question is if you could provide some detail on the OLED TV panel shipments in Q1, how many panels did you ship and roughly what was the mix by 55-inch and 65-inch sizes? Thank you.
Kwang-Jin Kim: I am Kwang-Jin Kim, Head of OLED TV Sales and Marketing. Now, let me respond to your question on the OLED panel shipments in terms of units, for the first quarter. It is hovering slightly less than 200,000 units. If you look at the size mix, last year 55 inches accounted for slightly more than 85%, whereas in Q1 of 2016, we have seen a slight decline in 55 inches, but an expansion and increase for the 65-inch and we have therefore seen above 30% share of 65 inches.
Rob Stone: So, my second question is on OLED TV capacity expansion. Can you remind us when the next phase – I think its 25,000 sheets per month being converted from LCD, when do you expect that to go into mass production?
Sang-Don Kim: I am the CFO. I will respond to that question. So, as we are seeing increases of OLED TV demand from our customer base in order to gain the economics, we are in the process of expanding our capacity. In the second half of 2015, we have added a capacity. And currently, we are making 34K per month. And from the second quarter of 2017, we think that we will have the economics for 8-generation 60K capacity and the investments that will follow this phase will be further considered and reviewed.
Operator: Next question, Jung Yeon-jin from Korea Investment & Securities. Sorry for that to the next person in line from UBS, Nicholas Gaudois.
Nick Gaudois: Yes, hi. Thanks for taking my follow-up. If you were to look at the LCD/LTPS shipments for mobile in the second half of the year, do we still expect technology shift basically in how the [indiscernible] is down and should we still expect in that complex that the competition level you are getting for that specific segment could actually narrow down in the second half of the year? Thank you.
Sang-Don Kim: I am the CFO. I will respond to your first question. Now, I understand your question to be how the LTPS will evolve going forward, with plastic OLED, what will be the future evolution path of this technology? Is that your question? As you know, technology is developing via various different directions. So, it will be very difficult to pinpoint as to what future direction would be. Now having said that, I think that when it comes to the – as we enter into the P-OLED era, I think that when it comes to LTPS capacity, I cautiously project that globally there will be oversupply in the market. Now at our company level, we have the readiness against LTPS as well as plastic OLED. In line with the technological advancement as well as the market demand, we will also be in line with the LTPS to P-OLED migration.
Operator: Next question, Jung Yeon-jin from Korea Investment & Securities, please go ahead.
Jung Yeon-jin: I have two questions. I would first post the first question, when it comes to your large-size panels, in the first quarter your competitor had some production and supply related interruptions. In the second quarter, if this situation normalizes and the production actually increases, what do you think will be the impact on the overall panel supply and demand dynamics in the second quarter?
Steven Koh: I am Steven Koh from Market Intelligence. It would not be very appropriate for us to speak specifically to a company’s production interruptions. Having said that, I think that advancement and the level of sophistication that we will see going forward on production lines and processes, now this is common to all of the panel providers within the industry, and it will be one of the assets that the players would consider, in order to overcome the challenging environment, as well as to bring improvements in the mix. So in terms of the supply, there could be slight increases. However, if you think about the fact that you want to change the mix overnight or if you want to make the entire process much more advanced overnight, now that cannot happen. It would be time consuming. Now that was on the supply side. If I talk about the demand side, as our CFO has also mentioned, inventory level is an important aspect for us to watch and our inventory level is quite healthy at this point. And in light of the various demands that we expect will increase ahead of the sales event that is scheduled. We think that all those developments are quite positive for us. Second question please.
Jung Yeon-jin: My second question, on your mobile side, your shipment to your biggest customer was quite slow, but you mentioned that in the first quarter, the AIT panel shipment to your Chinese customers were significant, but can you provide more color and guidance on what your mobile revenue would look like in the second quarter. Now your shipment to China, will that be more than enough to make up for potential declines of the shipments that you have experienced to your large clients?
Sang-Don Kim: I am the CFO. I will respond to that question. As mentioned before, our AIT products are showing quite significant growth. As you have mentioned, it is true that the demand for our products, on many of different aspects, from our Chinese customers are rising. For your reference, the share of our AIT products to China have significantly increased since the fourth quarter of last year. We also expect our relationship with our key strategic customer will maintain quite stably with a focus on all of the premium segments. All-in-all, we do expect to a certain extent growth from the mobile products.
Operator: [Operator Instructions] We will take question from [Technical Difficulty] Investments.
Unidentified Analyst: My question relates to OLED, recently some of the companies are moving to adopt OLED in their notebook and monitor products, I would like to understand how LG Display is planning to respond to such trends?
Young Kwon Song: I am Young Kwon Song from Strategic Marketing. I will respond to that question. Now OLED is considered the next generation display in terms of picture quality, design and flexible properties. It has great advantages. But – and depending on the type and characteristics of the application, when it comes to the speed of adoption, there will be some varying differences. And our company’s position is to focus more on plastic OLED space, small to medium sizes, as well as TV, which we could maximize the – where we could maximize our capabilities and advantages in OLED. In the IT segment, there are some areas of applications where it is – it will be quite difficult, in light of the cost structure, as well as power consumption. We will consider the market responses and our productability, in terms of OLED within our company to really elaborate on the business feasibility.
Operator: We will take question from Eric Smith from Private Capital Investments – Private Capital Partners.
Eric Smith: Thanks for taking my question. Could you talk about your current 4K OLED yield and where you expect it to trend by the end of the year, also what were your ASPs for OLED televisions in Q1?
Kwang-Jin Kim: Now as of end of last year, our 55-inch full HD yield was above 80%. So we were able to achieve the so-called golden yield target. And the starting second half of last year, with the mass production, the UH model, it is less compared to that. However, we have seen continuous increases in the yield level, in terms of our UH models – UHD models, excuse me.
Operator: Next we will go to Rob Stone from Cowen & Company. Please go ahead.
Rob Stone: Hi. A follow-up question on OLED TV panel shipments, if you had slightly less than 200,000 in Q1 and you are planning to reach 1 million units for the year is that a function of greater utilization or yields or is this expected to be driven by seasonal demand? Thank you.
Kwang-Jin Kim: I am Kwang-Jin Kim from OLED TV Sales and Marketing. When it comes to the OLED market, currently it is true that the market is somehow dictated or defined by the suppliers. Therefore, the productivity improvement is going to make contributions to achieving that year end target. In terms of the yield, I have mentioned that our yield is improving as according to our plan. Therefore, in the second half of the year, the available supply is going to increase, with that increase in productivity, thereby making it possible for us to achieve that 1 million units.
Rob Stone: That’s great. Thank you.
Operator: [indiscernible] from Yuanta Securities, go ahead.
Unidentified Analyst: Can you maybe provide some color as to how the production volume will change on an year-over-year basis for LCD this year for your 35-inch and 32-inch?
Sang-Don Kim: I am the CFO. I will take that question. As mentioned previously, our 32-inch, on a relative basis is low in terms of its profitability, so we have been strategically reducing the volumes. Last year, for 2015, the sizes around 30-inch level accounted for 30% against the total. And for this year, we expect that proportion to fall below 20%. In line with the significant growth and demand for panels above 50 inches, we are very much focused on developing ultra-large size models within the company. And accordingly, compared to 2015 this year, in 2016, we expect that percentage and share of – share will increase quite significantly.
Operator: [Operator Instructions] Next question from [indiscernible], go ahead.
Unidentified Analyst: Good morning. I have a two-part question. It sounds like from the call that you are thinking about increasing the OLED investment into 2016-2017 mainly driven by OLED and that your base number is around KRW4 trillion. I am wondering you ended the cash balance last year around $2 billion. And it sounds like currently the CapEx plan is above your annual EBITDA rate. So, it sounds like given the environment of LC profitability, you may have to continue to raise some funding either through debt or equity. So, your debt activity has been rising recently. So, is that the preferred method to raise cash in light of the eroding cash balance?
Sang-Don Kim: I am the CFO. I understand your question has to do with the cash flow requirements, with respect to the increased CapEx needs. As you know, our financial position and structure is quite stable. Now, this year’s CapEx we believe will be spent within the level of EBITDA. We believe as we move into the second quarter, into the second half of the year, depending on the operational and business environment of course, but we believe that if things play out as planned, we will be able to be – we will be within that EBITDA level. Having said that, the size of CapEx investment for 2017, the investment size is currently under discussion, where I will not be able to provide you with any more specific color. And it is also true that the demand for new technology has really increased in line with the demand of the customers. Accordingly, by managing our expected EBITDA and by managing our working capital, we will secure internal cash. And in light of our financial position, we will on a needs basis consider funding as well as spending of the CapEx. But since we have a very sound financial position, we are going to manage the – we are going to consider leveraged funding. Now we, at this point, are not considering funding via issuance of equities or equity offerings.
Unidentified Analyst: I had a second part. Could I ask a second part follow-up question?
Sang-Don Kim: Yes, go ahead.
Unidentified Analyst: Okay. I think because of the OLED development roadmap, clearly – Samsung have been doing it for a while, you are starting from a low base. And you are in a unique position where you are doing both the mobile RGB, flexible OLED and at the same time pushing on the TV dedicated OLED. So strategically, do you see both products equally important or are you preferring for example TV strategy a little bit more than the mobile strategy?
Sang-Don Kim: I am the CFO, if I may respond to that. Now of course to LG Display, those two products are equally important to us. Now having said that, at LG Display as we have been doing so in the past as well, we would consider market situation and the demand situation of our customer base in determining the priority on different – on a timely basis. So we basically have our strategic focus on both of those product directions. But in terms of the size and the timing of the investments, we will make the decision in light of the customer demand and need and implement efficient strategic investment. On a relative basis, our experience on P-OLED, on a comparative basis it is not as efficient. But if you look at the future of plastic OLED, it is really scalable to different product segments like smartphones, the wearables, the foldables, as well as auto applications. So we believe that it is part of – an important part of our future business. We will not in any way, rush at any attempt. We will follow the plan, in line with monitoring and reviewing the market development. And we will respond accordingly, on a timely manner.
Operator: Next from HSBC, Jerry Tsai.
Jerry Tsai: Hi. Thanks for taking my question. I have got two questions here, first about the OLED investment, we are seeing many panel makers, including yourself are trying to expand their OLED capacity by quite a bit in the coming few years, do you foresee any potential bottlenecks from the equipment supply side, such as evaporator, that could actually delay the extensions? That’s my first question. Thank you.
Sang-Don Kim: I am the CFO. I will take that question. When it comes to these equipment providers, we are in discussion with these companies on various different angles. And I can say that things are going based on our concrete plan. As mentioned many times over, our company has a very conservative approach to investment. LG Display has always preferred phased investment that was in line with market situation, rather than making all of a sudden, extensive amount of CapEx investments. And to-date, I can say that we do not have any bottlenecks when it comes to the supply of equipment. At LG Display, we would engage in multi-directional discussions with the equipment providers, based on our future technology roadmap as well as our CapEx plan.
Jerry Tsai: My question relates to your OLED TV strategy, I think that your key focus is on the premium segment of this market and that means that in this segment, the main size is above 65 inch. Now that means that in 2017, rather than the investments into the 8th generation and the conversion of the lines, I would think that you would need to start investment into newer generations that would be more effective in making the 65 inch panels. Now if that is the case and if you do decide to invest into generations above 8th gen, then I would think that it would may require a fresh investment, rather than just the conversion of the existing processes, if that is the case compared to 8th generation, what would be the extent of increase, in terms of investment, on a per unit basis?
Sang-Don Kim: I am the CFO. I will respond to that. Now up to now, if you look at the OLED TV sales performance, I would say with pride that we were able to establish a premium positioning. In time, it is true that the share of panels above 65 inch is increasing. And we are also aware that under the 8th generation capacity, when it comes to the ultra-large size inches, that it is not sufficient as a final solution. Now under this backdrop, we are proceeding with the construction of P10 and by the second quarter of the 2018, the fab will be complete. So the overall building will be complete. And in terms of what’s going to go inside, in terms of specification and generation, we are reviewing different aspects. So we will think a little more on those aspects. And once we come up with a final strategy on those aspects, we will communicate that with you.
Won Jong Han: With that, we will now close the Q&A session. Thank you once again for joining us today. And please do contact us at our IR team, if – for any additional questions. Thank you.